Etienne Bertrand: Jerome, thank you for joining us tonight. With me, we have comment the third quarter and first nine months 2013 results. Philippe Crouzet, Olivier Mallet, Jean-Pierre Michel and Didier Hornet. I would like to inform you that this conference call will be recorded and the replay will be available. This conference is audio-webcasted on our investor relations website www.vallourec.com and the slides that will be commented by the management during the presentation are also available for download on our website both on the Home page and on the Investor Relations section in the Financial results page. Lastly, before I hand over to Philippe, I must caution that today’s conference call contains forward-looking statements and that future results may differ materially from statements or projections made on today’s call. For your convenience, the forward-looking statements and risk factors that could affect Group’s statements are referenced at the beginning of slide presentation and are included in our annual registration document filed with the AMF. Philippe?
Philippe Crouzet: Thank you, Etienne and let me give you some general comments on our Q3 result. First, revenues. Revenues improvement continues to be driven by the oil and gas business, now represent or represented over Q3 approximately 67% of the Group sales, compared to 66% in Q2. Oil and gas revenues are up 13% year-on-year in Q3 and really reflective of high premium deliveries in Brazil for the deep offshore and in the Middle East as well. In the U.S., the Group increased sales volumes, thanks to our enlarged offer of products and services from the new rolling mill. However the market continues to be mainly shale oil oriented and this results in a product mix evolving towards lower-margin semi-premium connections. In other markets of the Group, conditions remain very sluggish. As far as profit is concerned, our profitability improved over the quarter mainly thanks to the better sales mix and despite a lower contribution of the U.S. combined with the, of course, continuing cost reductions implemented across the whole Group. So in a nutshell, I can see that these results really enable us to confirm that we continue to target an increase in volume and sales and an improvement in EBITDA margin over the full year 2013. However, obviously the current weakness of the Brazilian real, and more recently, the weakening of the U.S. dollar against the Euro as well as the temporary reduction of OCTG demand in Brazil will dampen this improvement. And these temporary factors will also affect the next quarters. Therefore we remain very much focused on strengthening our premium positioning and enhancing our operating efficiencies. We will obviously benefit in the coming quarters from our new facilities coming into play and of course, following this major investment cycle we will be in a better position to take advantage of the dynamic oil and gas markets over the medium and long term. On the Slide 6, you see a brief summary of our key numbers, illustrating the performance improvement. Just a quick word on the improvement of the EBITDA margin, it reached 17.4% of revenues in Q3 and 16.7% of revenues over the first nine months of the year compared to 2012. So this is a significant improvement as you know. I would as well like to highlight the 20% improvement in the Group’s net income over the first nine months of 2013 compared to the same period of last year, and we reached €177 million of net profit over the first three quarters of the year. Let me now leave the mic to Olivier for more detail.
Olivier Mallet: Thank you, Philippe. Good afternoon, good morning everybody. So I am on Page 8 with a few words on the breakdown by region first, with combined revenues of North America, South America, Asia and Middle East and now representing over the first nine months of the year 75% of the revenues, compared to 69% last year where our share of Europe is up 19%, compared to 22% last year. This is no surprise and illustrates the impact of the European economic environment, combined the growing share of oil and gas revenues, which are presented on the second bar chart of the slide. And there as he’s just said, oil and gas revenues now represent exactly two-thirds of the total Group revenues, 67% in Q3, compared to 61% a year ago. Next page, a few comments on revenues, which increased by 3.4% in Q3 versus Q3 last year. The negative 8% currency translation effect due to weaker Brazilian real and U.S. dollar versus euro was more than offset by the 4% positive volume effect and by a 7% positive price and mostly mix effect, resulting in particular from a higher proportion of oil and gas revenues, despite lower prices in the U.S. oil and gas market. On Slide 10 of the presentation, some comments on the oil and gas market indicators. First, in the USA where the rig count was on average at 1770 rigs in Q3, down 7% year on year and very stable sequentially. These charts show no significant change in the drilling landscape in the States, with in particular no recovery in gas drilling. The international oil and gas rig count reached 1,285 rigs on average in Q3, up 2% year on year. And finally, as far as prices, oil prices remain globally at the high level and gas price at $3.6 per million Btu is still too low to figure a recovery in gas drilling. Let’s move now on Page 11 to oil and gas revenues, with some comments first in the USA where the Group has a strong market position in the shale oil market and where prices were stabilized in Q3 compared to H1 2013 but down approximately 10% compared to last year, following the adjustment made at the beginning of this year. Volumes were up in the third quarter due to our enlarged product and services offer, together with a ramp-up of our new mill in Ohio, and as commented earlier, in the absence of shale gas drilling pick-up, the product mix is more and more driven by shale oil drilling operations evolving towards lower-margin semi-premium connections. Outside of the USA, in the vast rest of the world area, we benefitted from the very good market dynamism in the Middle East, with high activity from major players such as Aramco. And finally, in Brazil, we benefitted in Q3 from a very good product mix, driven by the domestic oil and gas offshore market. As announced during our investor day at the end of September in a context where the Brazilian currency weakened significantly during the summer, our major local customer, Petrobras is prioritizing cash generation and increasing oil production in the short term. For the Group, this should result, from Q4 2013 until mid-year 2014, in more tubing and less casing and therefore temporarily reducing tonnages of OCTG delivered on the domestic market. On Slide 12, power generation revenues were down year on year in Q3 with a still weak market for conventional plants and as commented earlier, some nuclear orders having been rescheduled to 2014. And finally, our industry revenues on Page 13, which cover mechanicals, automotive and construction and other and represents 19% of our revenues, down 8% year on year in Q3. For mechanicals first, which is primarily a European based business, revenues decreased compared to last year in a market which is showing neither improvements nor further deterioration. In automotive, revenues were up year on year in Q3 due to higher sales of heavy vehicles in Brazil. And finally, for construction and other, Q3 sales were down, driven by iron ore contract pricing. I am moving now to Page 15, to the financial results and outlook, with the first comments on the EBITDA evolution. Compared to Q3 last year, our EBITDA improved by €32 million, or by 15.4% to reach $240 million with the margin up by 180 basis points to reach 17.4%. The Group EBITDA and EBITDA margin improved mainly due to a better sales mix, notably in the Brazil and rest of the world, the positive effect of the new mills ramp up, and an efficient cost control which were partly offset by lower prices in the USA, the lower level of activity in European power gen and industry markets and by some one-off maintenance works in the European steel mills. These elements can be seen in the improvements of the cost of sales ratio better by 240 basis points than last year, whereas the SG&A slightly increased in value but stable in percentage of sales and are down 4% year on year on nine markets [ph]. Next slide, a few words on the rest of the P&L with in Q3 depreciation of industrial assets higher than last year as anticipated, notably in Brazil and in the States following the ramp-up of our new mill. The effective tax rate is stable at 34% and the net income Group share is up 29% compared to last year to reach €80 million. Page 17, about the cash flow in the third quarter. As you can see, at the end of September the net debt was almost stabilized compared to the end of June, increasing by only €15 million. The gross cash flow from operations at €204 million in the third quarter was followed by working capital requirement increasing by $111 million reflecting notably the ramp-up of our new mill. CapEx at €119 million were down 22% year on year as the strategic CapEx are coming to an end with the completion of Vallourec’s major investments. For the full year, CapEx are now expected to be around €600 million, against a previous estimate of €650 million, thanks to efficient capital expenditures control. Therefore net debt is expected to reach approximately €1.8 billion at the end of the year. I will not comment the Slide 18, which is a summary of our financial resources and shows our full balance sheet structure and liquidity profile since there is no real change up here compared to a quarter ago. And of course, to conclude on the outlook, Page 19. As 2013 is now coming to an end, the prospects for the oil and gas segment in the rest of the world area continue to be positive with as well a good level of bookings for deliveries now in H1 2014. In the U.S., while volumes are going up with the ramp up of our new mill, the product mix driven by the shale oil drilling operations is evolving towards lower margin semi-premium connections. And in Brazil, as you know, Petrobras is reducing demand of OCTG casing and increasing the demand for tubing, resulting in less volumes for Vallourec from Q4 to mid-next year. Finally, the economic environment, especially in Europe remains stable and weak for most of our non-oil and gas activities. We see no sign of recovery activity in industry for the year end, with the exception of the Brazilian automotive market. As a result for 2013, we continue to target an increase in volume and sales and an improvement in EBITDA margin, although this improved performance in the Group results will be impacted in Q4 by the current weakness of the Brazilian real, the recent weakening or maybe volatility with what happened to date of the US dollar against the euro and the temporary reduction of OCTG demand in Brazil. So thank you for your attention. And now we are ready for your questions.
Operator: (Operator Instructions) We will take our first question from Geoffroy Stern of Kepler Cheuvreux.
Geoffroy Stern - Kepler Cheuvreux: I have several questions. The first one relates to the cost of sales. To what extent we could expect stable development as a percentage of sales in Q4 versus Q3, given the strong achievement we have seen in Q3? And also a housekeeping question with regard to your hedging rate in terms of euro-dollar at the end of Q3. Then second question, on the US rate case, we have heard from other players that the trade case is being delayed from December to February next year for the antidumping duties announcement. I was wondering to what extent you think this could somewhat negatively impact your bargaining power when you negotiate H1 prices with your distributors in December. And a follow-up on this is to what extent you could, let's say, revise the pullout [ph] at a later stage in H1 the prices you have negotiated in December, i.e., if you can't increase prices in Q1, to what extent you could renegotiate prices for H2 delivery? And a final one if I may, on Brazil. To what extent you can partially offset the impact stemming from the expected fall in OCTG orders from Petrobras by the middle of next year? I mean to what extent you are able to target the Middle East and African market from VMB, and the degree of flexibility towards your cost base in Brazil.
Philippe Crouzet: Thank you, Geoffroy, for your very long four questions.
Olivier Mallet: So I will take maybe the two first ones. As far as hedging rate is concerned, in Q3 it was $1.3 per euro and this will be basically the same figure for the full year 2013. As far as the cost of goods sold is concerned, the initial margin is made actually of two elements. One is the cost management per se and in this regard we are pretty pleased with what we are achieving. You can see that in the SG&A line were down 4% year on year despite inflation on salaries in particular. You know as well that our CAPTEN+ saving program is going on in our plans, and we expect from that a level of savings in the same order of magnitude as the one we got last year, towards €100 million, pre-inflation, about 4% of our [indiscernible] So cost management is doing well. The industrial margin is made as well of what’s happening in the top line and here we will be impacted in Q4 mostly by what is happening in Brazil where we had an excellent Q3 and whereas around at the end of September and [indiscernible] new there, we will be impacted in Q4 and in H1 next year by the reduced demand from Petrobras. And the I think the market got the message pretty clearly at investor day in this regard.
Didier Hornet: So concerning the trade case you were mentioning, and the fact was postponed – let’s say, the decision was postponed from December 9 to February 13. Let me first tell that if antidumping is a factor – a positive factor if we go through for our pricing policy in 2014, we always said that a stronger rebound or let’s say rebound on prices would be also conditioned by a restart of the activity and especially in the gas drilling. So this will be conditioned also to the level of CapEx we start to see from now on through the end of the year. So the conclusion is that the fact it is postponed is not favorable but nothing is only depending on the antidumping factor.
Philippe Crouzet: As far as using Brazil to supply the Middle East and other markets which are very strong at the moment, I would say obviously we will try and use it as much as we can. We have a high order book at the moment regarding those areas. So I would say it would enable us to get to those sales safer and make them more and more assured, if I may say, over the first half. Of course, this being said, we are still hopeful that orders and deliveries from – to Petrobras will come back mid-year. That’s according to our best knowledge of the situation at the moment. Therefore production will start before. So we may want to use Brazil in that capability in order to supply other parts of the world, but of course we’ll give a priority to Petrobras. We expect a strong second half for Brazil and we plan to anticipate some maintenance stoppage which were initially due in second half over first half in order to be ready for a pickup of production and deliveries in the second half.
Geoffroy Stern - Kepler Cheuvreux: All right, thanks.
Etienne Bertrand: Okay, next question please.
Operator: We will take our next question from Michael Shillaker of Credit Suisse. Please go ahead.
Michael J. Shillaker – Credit Suisse:
– : The second question is, is Q4 as bad as it gets in terms of the Petrobras and real effect or does that actually intensify in Q1 and Q2 next year? Third question, can you give us just an update in terms of your confidence because you still sound incredibly confident that this is only an impact up until the first half of next year? And just give us a reiteration of why you are so confident this is only until the first half of next year, the Petrobras effect. And then a housekeeping question really. Update, if required on ramp-ups of VM2 and VSB. Anything new we need to know, I doubt? And finally, reiteration of CapEx guidance, 450 is still correct for next year? Thanks very much.
Etienne Bertrand: Thank you for your two questions.
Michael J. Shillaker – Credit Suisse: I don’t count well.
Philippe Crouzet: And a half.
Olivier Mallet: So as far as Q4 this year is concerned, as I said, we think that the market did pretty well, get the messages sent during the Investor Day. There is nothing really new there. So no need to adjust a lot about your thinking. The only element which is more of a question mark is the evolution of the U.S. dollar. During the last weeks, it started to deteriorate, to weaken vis-à-vis the euro which is not good news for us because it has two impacts. The immediate one, which is conversion impact, translation impact of the result we make in the States into our accounts. So this maybe a very small negative if the dollar continues to weaken. This being said, the decision made today by the European Central Bank is definitely going in the right direction and we’ve seen an immediate impact of the dollar. So I would say that it has been or it’s still a question mark and we have to watch that carefully because we are sensitive to the dollar-euro and dollar-real evolution. The second question was to know whether it would intensify in Q1 and Q2. As far as the Petrobras impact per se, not really, but remember that we have a strong seasonality in our quarterly EBITDA and Q1 is always a low quarter. So it will be even more so because of this Petrobras element that will in Q1 and Q2 follow the trend seen in Q4. One additional comment maybe on the real, the currency. The impact in Q4 and Q4 – in Q3 sorry, is negative and significant because we make a significant profit in Brazil and we have this immediate mechanical translation impact that is a negative for 2013. This being said, when we will enter into 2014, we will start benefitting from some favorable transaction impact because we well in particular from VSB in U.S. dollars. So when our hedging is in place, it will be replaced, we’ll have favorable transaction impact due to the weakening of the real that will offset to a large extent, a very large extent the negative from the translation impact. And now I think I hand over on what will happen mid next year with Petrobras.
Philippe Crouzet: So there your point is whether we are comfortable or not about the profile of the second half of the year. We can only transmit to you what we’ve understood and without entering into more details of course. But based on our discussions with our customer, we understand that they really are committed to drilling more. That’s their long-term commitment but even with short-term consequences. This is a commitment to their shareholders and to the financial community. And so there is really a timeframe for them when they really have to drill in some areas, including with some legal commitments. So that’s all we can say. I mean our forecast is based on understanding of their process in drilling new wells. And when they will be done with the completion of existing wells, obviously, they will have to move to drilling new wells and that’s what we are working on at the moment according to their plans.
Didier Hornet: So concerning VSB and the VM2 rampup, we are relying with our plans in terms of products and customer qualifications as we mentioned during the Investor Day. VSB is today in the fourth quarter running at about two-third of its nominal capacity and VM2 is ramping up and finishing, again as you saw in Youngstown, which is today the bottleneck to deliver the 2014 plan.
Olivier Mallet: I was about to forget your question Michael about CapEx. So for this year, we have revised our guidance that was originally €650 million over the year. It will be much more likely now around €600 million and this is mostly due to savings achieved for some CapEx projects, so it’s good news. As far as the next year, the €450 million you are mentioning were commented by us for the normative figure to take place as from 2015. We say and we confirm that 2014 will be somewhere in between with an order of magnitude of something around €500 million, so it’s not totally finalized.
Michael J. Shillaker – Credit Suisse: Okay. All right, very clear. Thanks very much for the clear answers.
Etienne Bertrand: Thank you Michael. Next question please.
Operator: We will take our next question from Alessandro Abate of JPMorgan. Please go ahead.
Alessandro Abate – JPMorgan: Hey, good afternoon everybody. I have just three questions. Is there any major deterioration in the guidance you are giving since the profit warning of last September 26, if there is any – just this, I mean if things are getting definitely a little bit worse than expected. The second one, it seems to be quite clear the impact of translation effect in the currency. But do you expect any kind of acceleration in the ramp-up from Brazil VSB, considering that at least in terms of operational leverage, a weak real should give you an advantage? And in 2Q ’14, are you going to have the usual positive effect of shipment to the next year, which is something that usually boost earnings in the later part of the year? Thank you.
Olivier Mallet: So on the first one, as you know, basically no changed and I think I said that already, compared to what we have told during the Investor Day, it has been this question mark about the U.S. dollar. The U.S. dollar was to be at 1.38 or 1.40 in Q4, it would have a slight negative effect. If it’s come back to 1.30 or 1.33, it will not be of any significant. So basically nothing new compared to a few weeks ago. As far as the real impact on VSB, yes, it’s true that going forward, the more VSB will be exporting volume wise, the more we will benefit from better competitiveness due to the weakening of the local currency, which by the way is very necessary given the high inflation that takes place in Brazil as well. So over the long-term it’s good news. As far as next year is concerned, as I was saying, we may be in a situation, a little bit too early to comment, but as an order of magnitude where the negative from the translation effect may be largely offset by the positive from the transaction effect. And finally, on nuclear, yes, there will be like every year, some concentration of shipments in Q4. So it’s usual pattern that you will see again. Also the beginning of the year, as you know, was not that good in this area. We had some customers in particular in China that asked us to postpone some deliveries from 2013 to 2014. So that should be a plus there next year, even if Q4 will be better than the other quarters in 2013.
Alessandro Abate – JPMorgan: Thank you.
Etienne Bertrand: Thank you Alessandro. Next question please.
Operator: We will take our next question from Sébastien Gruter from Societe Generale. Please go ahead.
Sébastien Gruter – Societe Generale: Hi, good evening. Three questions, if I may. Some clarification around the guidance. Just to be clear, I mean, you expect, from your statement, do you expect the improvement to stop in Q4 from volume sales and EBITDA or you just expect a slowdown in these improvements you have seen over the last 9 months? Second question will be on the depreciation. Depreciation has gone down from Q2 to Q3. Is it due to currency? Is it a new run rate for the depreciation level? And final question would be on the inventories. Will you continue to build up inventories into Q4 and next year as you ramp up your mills, or do you think we have reached a peak or we are close to a peak now? Thank you.
Olivier Mallet: On the guidance, once again, no real change compared to what was said a few weeks ago. Then the next questions were…
Etienne Bertrand: Depreciation and amortization, any change?
Olivier Mallet: Yeah, it’s mostly due to a currency impact. We have less depreciation in Brazil because it’s in the question the local currency.
Etienne Bertrand: And inventory buildup?
Olivier Mallet: And finally, on inventories, we are building up inventory and moderately working capital with the ramp up of the mills. It will come to an end where the mills be at full capacity, so it will continue to grow to some extent next year as we will continue to increase load to new gas.
Sébastien Gruter – Societe Generale: Thank you.
Etienne Bertrand: Thank you Sébastien.
Operator: We will take our next question from Julien Laurent of Natixis. Please go ahead.
Julien Laurent – Natixis: Yes, good evening. Just about the volumes, I was looking at the volume in this Q3 and compare that to the volume just two years ago. And in fact, it is down by 50,000 tons this quarter, even despite the rampup of the new plant. So could you just give us the breaking of the level of activity per plant or something like that? Is it very weak in Europe now?
Philippe Crouzet: Yes, Julien, most of the volumes that we are shipping from Europe to known oil and gas markets are down, definitely, the other mills are growing, as you right said. And the exiting mills delivering to power generation or to industrial markets are definitely down. This is consistent with the evolution of the European markets and all the movements are explained by that. That’s the consistency of the figures, we are running full capacity on every single existing mill supplying oil and gas markets. We are ramping up in the new two mills in Brazil and the U.S. But those mills which are delivering especially small diameters tubes to say mechanical markets or power generation markets are not running at full capacity for sure.
Julien Laurent – Natixis: So it would imply something lower than 60% utilization rate in Europe?
Philippe Crouzet: No, we’re still above that level.
Julien Laurent – Natixis: Okay, thank you.
Etienne Bertrand: Thank you Julien. We have a next question?
Operator: We will take our next question from Jean-Luc Romain of CM-CIC Securities.
Jean-Luc Romain – CM-CIC Securities : Good night. My question relates to the Middle East. There were talks about very high orders by Saudi Aramco. Could you elaborate on that?
Jean-Pierre Michel: Yes, Saudi Aramco has been increasing its activity over 2013. They are now operating about 200 rigs and after several discussions with them, it appears that this will be maintained as we are – we see a continued strong activity for Saudi Aramco next year.
Jean-Luc Romain – CM-CIC Securities : Thank you very much.
Etienne Bertrand: Thank you. We have any other questions pending?
Operator: We have no further questions. So I would now like to hand the call back over to your host for today for any additional or closing remarks.
Etienne Bertrand: Okay, thank very much. Maybe Philippe, you want to make a small conclusion?
Philippe Crouzet: Yeah, just to stress a couple of points. Of course, we are facing a number of external and short-term temporary factors I would say affecting our performance. I’m referring here to Petrobras temporary reducing its demand for tubular products and referring to all the currency movements, which obviously don’t help making any kind of forecast. And the sluggish environment as far as our European industrial and power generation activities are concerned as we just commented. So obviously this is – bodes for weaker performance in Q4 and some of the factors will remain in the coming quarters. Now this being said, even if the adjustment of Petrobras should last, as we commented until maybe next year, the prospects in Brazil remain extremely favorable, extremely positive, both volume wise and the quality wise. In most of the products we are supplying to Petrobras and we will supply in the future and maybe in further future to other operators in this country are very high end products and this is confirmed when we work with them. And similarly, even if the U.S. shale outlays development may trigger more lower margin semi-premium connections for the moment, first, we benefit from additional capacity and improved – and enlarged offering to increase our sales. And more important, over time, we are absolutely convinced that U.S. shale gas drilling will eventually recover and trigger more premium connections demand. And no need to say that we are still very positive on oil and gas prospective. Our order book is very strong in other areas of the world and Middle East to name first, but Africa as well. And we in those areas are benefitting from the rampup of new mills, especially the Brazilian one. And as we commented earlier, a weakening of the real is a positive factor. So not only are we now supplying premium products from that mill, but we are in a better competitive position. So again, we are positive as far as these markets are concerned and their requirements for high end products, where we are extremely well positioned, especially high temperature, high pressure products and our VAM 21 range is still very successful. So the good news is that we now have additional capacity from Brazil with the required qualification. So we remain definitely positive about the mid-term growth prospects for oil and gas businesses and that’s my final message. Sorry for my voice.
Etienne Bertrand: Thank you. This is ending the conference call of tonight. We’ll have further comments maybe during roadshows that we have with some of you and we will get a conference will sell-side analysts tomorrow in Paris and another one in London next week.